Operator: All participants please standby, your conference is ready to begin. Good morning, ladies and gentlemen, and welcome to the Air Canada Third Quarter 2020 Conference Call. I would now like to turn the meeting over to Kathleen Murphy. Please go ahead, Ms. Murphy.
Kathleen Murphy: Thank you, Mo, and good morning, everyone, and thank you for joining us on our third quarter call. With me this morning are Calin Rovinescu, our President and Chief Executive Officer; Mike Rousseau, our Deputy Chief Executive Officer and Chief Financial Officer; Lucie Guillemette, our Executive Vice President and Chief Commercial Officer. On today's call, Calin will begin by giving you an overview of the impact of the COVID-19 pandemic and related travel restrictions on Air Canada, what we have been doing in response and how we view the future; Lucie will touch on travel demand, cargo, and loyalty; and Mike will provide you with visibility on current plans regarding cash burn rate, liquidity, and fleet before turning it back to Calin. We will then open up to questions from equity analysts followed by questions from fixed-income analysts. Before we get started, please note that certain statements made on this call are forward-looking within the meaning of applicable securities laws. This call also includes references to non-GAAP measure. Please refer to our third quarter press release and MD&A for cautionary statements relating to forward-looking information and for reconciliations of non-GAAP measures to GAAP results. I will now turn it over to Calin.
Calin Rovinescu: Thank you, Kathy, and good morning, everyone, and thank you for joining us on our third quarter earnings call. We recorded third quarter negative EBITDA of CAD554 million and an operating loss of CAD785 million. Operating revenue declined 86% over the third quarter of 2019 somewhat mitigated by our strong cargo revenue performance highlighted by our Cargo Group's ability to pivot to dedicated all-cargo flights during the pandemic. Since mid-March, we have operated over 3,000 all-cargo international flights and building on our 52% year-over-year cargo revenue increase for the second quarter, our cargo revenues increased 22% in the third quarter supporting our objective to build a bigger cargo business. Today's results reflect COVID-19 unprecedented impact on our industry globally and on Air Canada, in particular, and what has historically been our most productive and profitable quarter. While our revenues improved over Q2, and our domestic operations started showing some signs of recovery, nonetheless, revenue passenger miles declined 91% compared to a year ago underscoring the stifling effect the travel restrictions have had on aviation in Canada, especially when compared to many markets around the world. The three largest carriers in the United States, for example, experienced a traffic decline of almost 80% on average over Q3, 2019. Comparatively, our traffic declined based on RPM translates into an additional CAD520 million to CAD600 million of lost revenue in Q3 attributable directly to the Canadian travel restrictions, including the blanket ban on foreign nationals, mandatory 14-day quarantine for all arriving passengers, and the Atlantic Canada travel bubble. We continue to operate within these constraints and from the outset we have been steadfast in our approach, acting decisively to implement our COVID-19 Mitigation and Recovery Plan. Since March, we have raised almost CAD6 billion in additional liquidity leveraging what was one of the industry's strongest balance sheets, as we entered the pandemic. We took the painful step of eliminating 20,000 jobs after having created 10,000 over the previous five years. We reduced our third quarter capacity by more than 80% devastating figure when considering that entering 2020, we had enjoyed 10 straight years of significant and profitable network expansion. We announced a series of indefinite route suspensions and station closures at the end of June, and our network planning team has identified up to a further 95 domestic US transborder and international route suspensions and nine station -- Canadian station closures required to preserve liquidity, cut costs, and reduce capital expenditures, as we prepare for a smaller footprint, which is expected to last several years. Given the public statements made by the Honourable Marc Garneau Canada's Minister of Transport yesterday regarding commencing immediate discussions with major airlines on aviation industry sector-specific support, we are deferring the additional route suspensions and station closures pending the progress of those discussions. We've also made many necessary fleet decisions carefully rationalizing our existing fleet by accelerating the retirement of 79 mainline and Rouge aircraft. We are deferring new Boeing 7378 and Airbus A220 deliveries scheduled for 2021 and 2022 and entirely canceling 10 Boeing 7378 and 12 Airbus A220 aircraft representing about 40% of the remaining scheduled deliveries. Through this fleet restructuring and other capital reduction initiatives, we have lowered total projected capital expenditures by about CAD3 billion over the 2020 to 2023 period, compared to our total projected capital expenditures at the end of 2019, an important part of our mitigation plan and derisking those obligations. Underpinning our Mitigation and Recovery Plan has been our resolute focus on health and safety both for our customers and our people. We have been a leader in introducing progressive layers of protection, such as our comprehensive suite of biosafety measures, Air Canada CleanCare Plus, and we continue to explore new technologies and processes to further build confidence in customers and regulators. Amongst the various science-based measures, we have advocated testing at airports is by far the most significant as demonstrated by our partnership with McMaster HealthLabs for testing international travelers, arriving at Toronto Pearson Airport. It was the largest ever study of its kind and the first in Canada and preliminary results clearly indicate testing as a viable, responsible, and effective alternative to quarantine, which would protect Canadians and facilitate the safe relaxation of quarantine. Indeed of more than 38,000 test samples collected during the study, more than 99% tested negative or put in another way less than 1% tested positive. This study was instrumental in providing the federal government and the government of Alberta, the confidence to move forward with the testing initiative in Calgary aimed at easing quarantine requirements. I need to here to specifically call out and thank, Alberta Premier Jason Kenney for his leadership and support of the airline industry. The Premier of Ontario has also announced that if the trial in Alberta goes well, a similar program could be implemented in Toronto. These developments are encouraging steps towards the safe resumption of Air travel to, from and within Canada. In addition to the mitigation steps we have taken, we are executing several foundational initiatives to support our post-COVID recovery and long-term success. We fully anticipate our new Aeroplan program will be one of the best-travel loyalty programs available. Our streamlined aircraft fleet will be highly fuel-efficient and well configured for our key routes. Our fully implemented new passenger service system will provide benefit to our customers and significant revenue opportunities for us. Cargo will become an increasingly important part of our business, as we plan to expand to dedicated traders and focus on e-commerce, which Lucie will expand upon. Our proposed acquisition of Transat if approved will enable us to better compete globally in a drastically altered global airline market, and most importantly our culture remains strong. We have employees, who remain highly motivated and intensely-focused on making our customers safe and feel safe when traveling, and I thank them for their commitment and hard work. Our airline continues to demonstrate how nimble and innovative we can be in the face of unprecedented challenges, and our response is being recognized. Air Canada was recently ranked as one of Canada's Most Valuable Brand by the brand equity firm Brand. We were the only airline included in their list of top 40 brands in Canada, and we received top rankings in six categories including first for best brand experience. The teamwork and collaboration reflected in these rankings will continue to be imperative, as we build our recovery momentum. And with that, I'll turn the call over to Lucie.
Lucie Guillemette: Thank you, Calin, and good morning, everyone. I'd like to start by thanking our teams for their perseverance and dedication in delivering a safe customer experience, as we continue to navigate the realities of COVID-19. Passenger demand in the third quarter continue to be drastically impacted by the pandemic and travel restrictions imposed globally and here in Canada, resulting in a passenger revenue decrease of 90% [ph]. We operated just over 18% of our capacity compared to the same quarter in 2019 with 110 of our mainline and Rouge aircraft and 36 of our Air Canada Express aircraft grounded in the quarter. As Calin mentioned, the severe travel restrictions imposed in Canada has had a direct negative impact on the recovery of air travel relative to other countries, including the United States, where the recovery started earlier and has been stronger than in Canada. Several US carriers, for example, have started to enjoy a quicker bounce back in the Pacific and sun markets than we have due to less severe travel deterrent, as well over the Pacific, we are restricted by Chinese authorities to two weekly flights, while the US government has been able to establish flight parity for Chinese and American carriers. Our domestic recovery has also been comparatively hampered by blanket interprovincial quarantine measures imposed by the Atlantic Provinces, whereas in the US, most interstate restrictions are focused on high-risk regions based on health data contributing to a stronger domestic recovery for the US carrier. Despite operating with these restrictions in place, we are laser focused on gradually and strategically building back our airline using principles that will not only be key to our recovery, but will also be foundational to our long-term sustainability. With this in mind, we anticipate operating approximately 25% of our capacity in the fourth quarter compared to the same quarter in 2019, but we will continue to dynamically adjust capacity, while considering passenger demand, quarantine rules, health warnings, travel restrictions, and border closures. In the third quarter, our domestic operations continue to see the beginning of signs of recovery, specifically with our transcontinental services and in Western Canada. To capitalize on these green shoots and pent up travel demand, we launched the Infinite Canada Flight Pass in September, an innovative and unique product that allows customers to take an unlimited number of flights within Canada for up to three months for a fixed fee. The product was available for a limited time and highlights our team's agility and seizing niche opportunities, as they arise. However, our domestic recovery remains fragile and uneven partly due to disjointed approaches to reopening the economy, as well as interprovincial travel restrictions, such as those created by the Atlantic travel bubble still in place. In the third quarter, we were very pleased to reopen our Maple Leaf Lounge at Calgary International Airport for eligible customers and with the spotlight on local products and suppliers. This is the third lounge we have re-opened. Our lounges are all feature our industry-leading CleanCare Plus biosafety measures including enhanced cleaning and touchless processes, putting the health and safety of our customers and employees first. We will continue to gradually open lounges throughout our network as demand returns and safety measures permits. Looking to our transborder network, a high degree of uncertainty remains around the recovery timeline due to the evolving health situation in the United States, as well as the ongoing Canadian border closures. We do not expect a significant increase in transborder travel throughout the remainder of the year. However, the US market remains a key component of our recovery and our long-term strategy. We have selectively resumed service to key US cities to facilitate essential travel and retain a skeleton network after completely suspending all US services early in the second quarter. While we cautiously build back our US network, our partnership with United Airlines will be important to expand our reach in the United States and to draw feeder traffic to our network. Our North America recovery will be significantly aided by our modern and efficient fleet, which remains a competitive advantage for us. We took delivery of our 10th Airbus 220 in the third quarter and expect to have 15 by the end of the year. Additionally, we anticipate the reintroduction of the Boeing 737-800 aircraft in the first quarter of next year. Despite modifications made to our orders, these two aircrafts remain the core of our narrow-body fleet and enable us to efficiently serve transcontinental North America routes through improved economics and range, while providing an excellent customer experience. Last week, we were pleased to be able to resume Air Canada rouge operation, which will play an important role in strategically rebuilding our global network. As leisure travel resumes, we will selectively add the rouge product, makeup of a narrow-body Airbus fleet to select North America leisure markets from Eastern Canada. Looking ahead to the December holiday period, we are making our Air Canada jet fleet available to customers for commercial flight providing an elevated level of comfort and service on several popular winter route including Toronto Fort Lauderdale, West Palm Beach, Barbados and [indiscernible] from Vancouver to Phoenix, Palm Springs and Puerto Varta and Montreal to Fort Lauderdale and Barbados, amongst a few others. The four all business class Airbus A319 typically transport professional sports teams and other charter groups. This initiative has garnered significant customer interest already and is another innovative example of how we're seizing niche opportunities in today's environment. The jets and rouge products were both be operated in accordance with Air Canada's biosafety protocols centered around our CleanCare Plus program. International passenger demand continues to be impeded by travel restrictions imposed globally and here in Canada. As such as part of our recovery effort, we are refocused our international network to select core markets such as London, Paris, Tokyo, Hong Kong, as well as our partners hubs, where we can fully leverage our Transatlantic joint venture with the Lufthansa Group to reach markets that we do not serve directly. In the quarter, we introduced complementary COVID-19 insurance coverage available for eligible Air Canada and Air Canada Vacations customers to give customers' added confidence when booking flights and packages for travel abroad and to support our recovery in international market. Initiatives such as this somewhat mitigate the uneven international recovery caused by the unilateral uncoordinated border openings, as well as local restrictions imposed due to the second wave of coronavirus cases that many countries, specifically in Europe are currently experiencing. However, we have seen the VFR market segment or visiting friends and relatives begin to recover, and we do anticipate this trend to continue. VFR traffic is typically strong on routes to China and India, and these markets will remain a priority for us as travel restrictions are lifted. Our high volume Boeing 777, as well as our efficient Boeing 787 gives us the right aircraft to serve this market segment. We are also pleased to have concluded a new commercial agreement with Qatar Airways, which will facilitate our non-stop service from Toronto to Doha commencing in mid-December on a Boeing 787. This agreement will enable us to effectively serve many Middle Eastern markets beyond Doha and represents another example of our ability to quickly adapt to evolving market conditions. We will continue in these unprecedented times to look for unique types of commercial opportunities moving forward. Over the course of the pandemic and through the third quarter, we have continued our focus on airfreight to meet the immediate and exceptional demand for medical equipment, critical goods and the regular movement of other time-sensitive air cargo. As a result, our third quarter cargo revenue increased by CAD39 million or 22% compared to the same quarter in 2019. In addition to the more than 3,000 all-cargo international flights we have operated since March, in the fourth quarter, we plan to operate up to 100 all-cargo flights per week using a combination of Boeing 787, Boeing 777 aircraft, as well as four converted Boeing 777 and three converted Airbus 330. We were the first airline globally to remove seats from aircraft to enable cargo capacity in the passenger cabin, which doubles the available cargo space on an aircraft. In addition to the all-cargo flights, our regular cargo service and the end of the lease [ph] of passenger aircraft continues to perform well for us and plays an important role in supporting our international routes in the absence of typical passenger demand. We operate a profitable cargo business that is expected to deliver more than CAD850 million of revenue in 2020. We are very excited to be taking the Air Canada Cargo business to the next level with our entry into the e-commerce world with our partners. Our objective is to grow cargo revenues using our existing fleet by providing specialized e-commerce service delivery. Our goal is to drive end to end value through enhanced technology, dynamic pricing, and transparency across the delivery supply chain. This new and exciting initiative will be implemented in phases, and is expected to be completed over the next year or so in Canada. In addition, we are exploring the opportunity to convert several of our owned Boeing 767 aircraft to freighters subject to concluding satisfactory arrangements with our pilots. We believe that this will be an exciting opportunity to leverage the growth of e-commerce and Air Canada's global footprint. Looking to Aeroplan performance in the third quarter, member engagement and activity showed continued resiliency underscoring the strength of the Aeroplan brand. Co-brand credit card spend has largely recovered outside of categories most impacted by the pandemic. Overall spend for the quarter was within 15% of last year's level, while card retention rates continued to be in line with historical norms. We are pleased with the solid execution on our entire loyalty strategy. In 2017, we made a promise to deliver a best-in-class loyalty program and smooth transition for customers, and we have passed [ph] several important milestones since then. Early last year, we seamlessly integrated Aeroplan and saw an immediate positive impact for the business. This past August we shared the much-anticipated details of the program redesign, and we received enthusiastic feedback and praise from our members and travel and loyalty expert communities around the world. And over the weekend, we began the process of cutting over to state-of-the-art technology platforms, as we prepare to launch new loyalty features and product for our customers. Looking to the future, we believe that the new programs, data capability and technology platforms will be key to retaining and building customer loyalty and accelerating our demand recovery. Furthermore, we look forward to announcing significant new partnerships that will grow the program, increase appeal to all member segments and accelerate revenue growth. Once again, I'd like to thank our teams and all areas of the airline for continuing to put the health and safety of our customers in each other first, while delivering an excellent customer experience. With that, I will pass it off to Mike.
Mike Rousseau: Well, thank you, Lucie, and thanks to everyone for joining us on the call today. I would also like to thank our employees for their focus and dedication in this extremely challenging environment. Turning to our costs in the quarter on a capacity reduction of 81.7%, operating expenses decreased CAD3 billion or 66% compared to the same quarter in 2019, reflecting the significant progress we've made on managing variable costs and reducing fixed expenses, and including a CAD72 million favorable adjustment to end of lease maintenance provisions. Wages, salaries, and benefits expense decreased CAD313 million or 40% largely on a 48% decrease in full-time equivalent employees. We continue to monitor the demand environment and will adjust staffing levels accordingly. Regional airlines expense decreased CAD303 million or 60%, reflecting the impact of reduced flying by Jazz and other airlines operating flights on our behalf. Aircraft maintenance expense declined CAD209 million or 82% versus last year's third quarter on a lower volume of maintenance activity due to reduced flying year-over-year and the retirement of our Boeing 767 and Embraer 190 fleets. In anticipation of returning aircraft to lessors upon lease expiry, primarily Airbus 320s and regional aircraft, we updated our end of lease cost estimates in the quarter, which resulted in a reduction to maintenance provisions of CAD72 million. Moving on to special items, these amounted to a net operating expense reduction of CAD192 million majority of which was related to the Canadian Emergency Wage Subsidy program or CEWS. You may recall that in July, the program was redesigned and extended until December of 2020. The Government of Canada has now announced a further extension to June of 2021. We intend to continue to participate in the wage subsidy program subject to meeting the eligibility requirements. As Calin mentioned earlier since this pandemic began, we have raised almost CAD6 billion in liquidity. This was achieved through several transactions, including secured financings, equity and convertible note offerings, and most recently, sale leaseback transactions for nine Boeing 737 aircraft. In September, we concluded a private offering of two tranches of Enhanced Equipment Trust Certificates for combined aggregate face amount of CAD740 million. We use the proceeds from this financing together with cash on hand to repay in full, the US$600 million 364-day term loan previously put in place in April of 2020. We also concluded a committed secured facility of CAD788 million to finance the purchase of our first 18 Airbus 220 aircraft. The secured financing replaces a bridge financing in the same amount put in place in April 2020. At the end of September, we had CAD8.2 billion of unrestricted liquidity. This amount excludes the proceeds of CAD485 million from the sale and leaseback of the nine Boeing 737s, as these transactions occurred in early October. Following the sale and leaseback transactions and taking into account changes to the fair market value of certain assets, our unencumbered asset pool including the value -- excluding the value of Aeroplan, Air Canada Vacations, and Air Canada Cargo, just added [ph] approximately CAD1.8 billion. We also made progress with our company-wide fixed cost reduction and capital reduction and deferral program, which has now reached CAD1.5 billion for 2020, in addition to the significant projected capital commitment reductions for the coming years, which I will speak to in a moment. We continue to improve productivity and processes, as these are key and being as lean as possible coming out of this crisis. Turning to cash burn. Net cash burn of CAD818 million or approximately CAD9 million per day on average in the third quarter was significantly better than our expectations. This was due to several factors, including the deferral or elimination of certain capital expenditures, higher cash receipts related to the CEWS program, and additional working capital benefits resulting from both a deferral of supplier payments into future periods and from income and sales tax recoveries, which had been expected to occur in later periods. Air Canada uses growth CapEx in its calculation of net cash burn, which is before the impact of aircraft financing. Financing related to aircraft received in Q3 amounted to CAD130 million or CAD1.4 million per day. Looking at the fourth quarter, we estimate a net cash burn of between CAD1.1 billion and CAD1.3 billion or CAD12 million and CAD14 million [ph] per day on average. This net cash burn projection includes about CAD4 million per day in capital expenditures and CAD5 million per day in lease and debt service costs. The higher projected net cash burn versus the third quarter is primarily due to an increase in end of lease payments, given more aircraft are being returned to lessors in the current quarter, the stabilization of supplier payment deferrals and lower cash receipts related to the CEWS program, in part due to the changes in the program. The higher level of capital expenditures reflecting additional 220 aircraft deliveries versus the third quarter also plays a part. Financing related to aircraft expected to be delivered in Q4 is projected at approximately CAD210 million or CAD2.3 million per day. Turning to capital expenditures. We amended our agreement with Boeing to cancel 10 Boeing 737 aircraft deliveries from our firm order of 50 aircraft and to defer our remaining 16 aircraft deliveries over the late 2021 to 2023 period. We also concluded amendment to our purchase agreement with Airbus, under which we are deferring 18 aircraft deliveries over 2021 and 2022, and we will not be purchasing 12 Airbus 220 aircraft on order from our original firm order of 45 aircraft. We continue to retain options for both Boeing 737 and Airbus 220 aircraft providing significant fleet flexibility. These changes significantly reduce our projected capital commitments for the coming years. Compared to our projected capital expenditures at the end of 2019 through successful fleet restructuring and other initiatives, we have reduced our expected total for 2020 to 2023 capital expenditures by CAD3 billion. An updated projected capital expenditure table is provided in third quarter MD&A. Before turning it back to Calin, I'd like to thank employees once again for their devotion and hard work. I'm confident that together we can successfully manage through these very demanding times. With that, I'll turn it back to Calin.
Calin Rovinescu: Thank you, Mike. The steps we have taken, as part of our COVID-19 Mitigation and Recovery Plan are positioning Air Canada to not only sustain itself during the pandemic, but also emerge as a strong and competitive albeit smaller carrier, well positioned for the recovery when borders reopen, travel restrictions are lifted, and the broader economy is functioning again. Our financial position has been considerably strengthened and liquidity bolstered with a nearly CAD6 billion raised since March. In addition to lowering our total projected capital expenditures by around CAD3 billion over the 2020 to 2023 period through fleet restructuring and other capital reduction initiatives, as Mike just outlined. Our comprehensive and layered approach to biosafety is industry leading and will continue to be enhanced and refined to build confidence in air travel. These efforts have been supported by several studies on the topic, including a leading Harvard study published last month that concluded when you couple the onboard ventilation systems, which filter out at least 99.97% of airborne viruses with other precautions, the risk of on-board transmission is below that of other routine activities in which many people continue to engage, such as grocery shopping for example. We remain at the forefront of advocating the implementation of a measured science-based approach to travel restrictions, and our testing trial with McMaster HealthLabs at Toronto Pearson has encouraged governments to look for science-based alternatives to blanket quarantines, such as the Alberta pilot project. There have also been significant developments made in rapid testing technology, and we are encouraged by Health Canada's approval of Abbott's ID NOW COVID-19 rapid response tests, as we have been in discussions with Abbott for some time. We acknowledge with interest, the public statements made by Canada's transport ministry yesterday regarding commencing immediate discussions this week with major airlines on possible aviation industry sector-specific financial support, which our industry has been actively advocating for and which airlines in most OECD countries have received over the -- now nearly nine months since the start of the pandemic. According to IATA's Chief Economist, governments have already provided more than US$160 billion of aid to airlines globally recognizing the critical role they play in their countries economies. Beyond sustaining tens of thousands of direct and indirect jobs, a healthy Canadian airline industry is essential for Canada's economic recovery from COVID-19 and vital to securing our country's place in a reordered post-pandemic world. We'll avoid further comment on this until such sector support materializes at which time we will update the market. Our COVID-19 plan includes not only mitigation, but also recovery and that recovery is going to be driven by several foundational elements, our new Aeroplan program, our streamlined fleet, our new passenger service system, our competitive network that will be supported by our global airline partners, our cargo ambitions, our improved customer service, and our employee culture, and our planned acquisition of Transat. The combination of our two companies will provide stability for Transat operations and its stakeholders, and will position Air Canada and indeed the Canadian aviation industry to emerge stronger, as we enter the post-COVID-19 world. Now, before closing, this will be my next to last earnings call before my retirement next February, I want to add a few more personal observation. I have enjoyed a special relationship with Air Canada for three decades involved with many of our company's defining moment. The 1988-'89 privatization in IPO, the company's defense against a hostile takeover bid in 1999, our merger with Canadian airline, the aftermath of 9/11, the 2003-2004 restructuring and many others. But I am especially proud of the company's transformation over the last decade, during which we built Air Canada into one of the world's leading carriers and a global champion for Canada winning numerous customer and employee awards, growing our global network to all six inhabited continent creating thousands of jobs, protecting pensions, producing record financial results, strengthening our balance sheet, delivering significant shareholder value and above all developing an entrepreneurial culture and engaged workforce. I need to publicly call out and thank our past and present extraordinary leadership team, as well as the efforts of all of the outstanding people of Air Canada, who have supported me in this multiyear marathon with passion, commitment, and drive. I also want to thank you our investment analyst community, as many of you have followed our story for the entire decade. You have challenged us and our evolving plans, strategies, and stated priorities with professionalism. Your analyses always motivated us to see how we stacked up against the best airlines and other geographies, whether that was on cost structure and capital allocation, revenue performance, fleet, global hubs or labor relations. You kept us on our toes and held us accountable in the very public forum of these analyst call. You truly made an effort to understand our business and stuck with us through the multiyear marathon. I've always thought that informed analysts make strong companies smarter. You have in a word made us smarter and for that I am grateful. Getting our succession rate was extremely important for both the Board and me, after all that we have achieved. As most of you know, Mike has been an invaluable partner and sounding board for me on virtually all aspects of our journey. He knows all of our strengths and opportunities and how we can lean into them. So, I am truly delighted that Mike has been endorsed as Air Canada's next CEO, and he and I with the rest of our executive team will work hard towards next February to ensure that Air Canada will be ready and able to tackle the post-COVID environment with the greatest of success. Thank you. Now, we would be pleased to take some questions.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] Our first question is from Walter Spracklin from RBC Capital Markets. Please go ahead.
Walter Spracklin: Yes. Good morning, everyone.
Calin Rovinescu: Good morning, Walter.
Walter Spracklin: I guess, I have to preface my question with an assumption first before I ask it, the assumption being that we're in a rebounding -- eventually rebounding scenario with vaccine by third quarter next year. In that scenario, I'll ask the question, do you think that given your fleet as it stands now with the cancellations and deferrals that you've announced under that scenario of a vaccine in development late next year and a rebounding travel, do you see any further cancellations or deferrals to your fleet or is this kind of the fleet, you're going to go with under that type of scenario?
Calin Rovinescu: Yes. Walter, that's a good question. And so what we've looked at doing here is -- basically making the decision through a combination of what our contractual obligations were to the two aircraft manufacturer. Looking at the age of our existing fleet, the 767s are already of a certain age, and so we sort of made our bet on the basis that even if there is a rebound by the third quarter with a vaccine, that the vaccine is not going to be instantaneously available throughout the planet that would enable us to return to the kind of operation, we had in 2019 as early as by the third quarter of next year. And so when we look at that, the fleet that you're seeing now with the deferrals, cancellations and with the excess is basically the fleet that we're going to go with for the next three plus years. But we, of course, have got some great optionality through our Airbus and Boeing contracts, Mike alluded to that. And we have the ability to -- even though we cancel parts of those orders, we have the ability, if there is a more optimistic return to exercise our options and return to traditional deliveries say starting the 2022 year.
Walter Spracklin: That's flexibility makes a lot of sense. Absolutely. Turning to cargo. Would you say that your focus here on cargo, if you look at the revenue generated, what -- what is the mix international versus domestic? And what is the focus going forward of cargo in terms of what markets you'll be looking to address?
Calin Rovinescu: Well, look, I think some of this is going to have to be rolled out in the fullness of time obviously for competitive reasons, Walter, as you'll appreciate. But certainly, most of our operation thus far has been in the international sphere. And we know that there are opportunities in the domestic sphere several -- we've been approached by several players. So we'll assess that in the fullness of time. But as we basically what we're announcing today is that Air Canada has made the determination to expand its cargo business and to [ph] subject to getting our pilots onboard to implement some conversion of our 767s into dedicated freighters. And those two factors will drive a certain amount of both Internet -- primarily international, but it has not been ruled out on the domestic side.
Walter Spracklin: That makes sense. Last question here is on -- on just the long term and Calin you referenced this that this will be a multiyear recovery. I speak to a number of investors obviously, they have a wide range of views and most are on the more pessimistic side when it -- when it -- when it deals with specifically business travel and long haul travel. Is there anything that you could offer in based on either data you've accumulated or -- or incidents taken from studies to suggest that -- that perhaps long haul and business travel might come back quicker than perhaps some of the more pessimistic scenarios out there and the pessimistic ones are saying seven years plus?
Calin Rovinescu: Yes. No, we're not -- we're not -- we're not at seven years plus. We're not in that category of pessimism. I would say that we continue to be in that three to five year time frame in terms of -- in terms of getting back to 2019 levels. But there is no doubt that the pandemic -- there are three factors at play here, and I think people need to understand all three. One factor that's at play is the state of all of these travel restrictions. And as Lucie alluded to the uncoordinated fashion that they are introduced, modified and it's almost on a daily basis and that -- there is a certain amount of traveler fatigue, in the business world that traveler fatigue will last for quite a while and until such time as everything is removed. So the existence of the travel restrictions, the quarantine, the travel bubble, the special rules that exist in many places is a -- it's a very, very negative factor that will have a lasting impact because people will say, well, I want to travel somewhere and then get stuck on some corner of the world, and there is a new restriction that's brought in without any consultation at the last minute. Secondly, there is a real -- real. There is a real factor here of -- of when does the demand return just based on various companies travel restrictions and different habits that are adopted and all of the video conferencing and everything else, there is a factor at play there. And then thirdly, our business and many other airlines around the world have built their businesses on connecting networks, where people connect to travel and therefore so many parts of our route network are dependent on the network working well. And so if parts of the network don't work well that will impact other parts and therefore that's why you see discussions around very large scale cancellations because so many of our routes were interdependent on other routes. And I think that -- that is something that folks really need to bear in mind.
Walter Spracklin: Okay. That's all my question. I just want to say that obviously a very trying time, but your efforts by you and Mike, and the team have been very commendable. I'll pass it on.
Calin Rovinescu: Thank you very much, Walter.
Operator: Thank you. Our following question is from Kevin Chiang from CIBC. Please go ahead.
Kevin Chiang: Hi, thank for taking my question this morning, and -- and again congrats Calin on your retirement and Mike, on your taking over the role of CEO here. Maybe if I just go back to your prepared remarks, Calin, I think you said, if you look at the loss revenue based on where US traffic trends are is about CAD600 million to the top line. If I think of the flow through, and what your cash burn was in the quarter, if my math is correct, it seems to suggest to get to breakeven cash burn, you need to have revenue or demand kind of back to, I guess 40% of pre-pandemic level. Is that kind of all right ballpark to think of -- of what cash flow neutral or cash flow neutral starts to make sense for -- for Air Canada?
Calin Rovinescu: Yes. I mean, I'll punt that to Mike, as we've done a lot of analysis, I am not sure how far we can go in terms of guidance here, but -- but I just want to get quick comment, Mike, just before I turn it over. On the question of the differential with the US carriers, the reason we called that out is to say while obviously traffic is low in the US, traffic is low in Canada, people assume it's more or less the same. But what we're saying is that because of the very onerous Canadian travel restrictions were CAD550 million to CAD600 million less than the average of the three carriers, that's sort of why we were calling that -- that number out. The cash burn is not a direct correlation because Mike mentioned, there are a lot of factors that go into what we have deferred into the fourth quarter, and so you almost have to look at the -- if you were to look at a cash burn number, you have to almost look at it over the three quarters to get a -- an average. But on the question of the breakeven, I'll turn it over to Mike.
Mike Rousseau: Good morning, Kevin. So we -- there is no doubt that our breakeven point has declined versus where it was historically because we've done a very good job taking out fixed costs and that is the key -- key issue. And then obviously, we've also pushed out capital expenditures. So that breakeven point is dropping over -- over the last couple of months. And there's no doubt that our variable margin on those incremental sales that we otherwise could have had, if it was a similar environment in the United States is relatively high. And so we don't have a number to give the market right now as to what the breakeven point because that is changing all the time frankly, as we get better reducing our fixed cost structure and modifying our capital expenditures. But certainly, I want to leave the message to the market that, that breakeven point is declining from where we were historically.
Kevin Chiang: That's helpful. And maybe just my second question. Lot of comments on cargo, I think, last week there was an article, noting that you -- that Air Canada was one of the bidders to be a logistics provider for the Canadian government in terms of the shipment of -- of a future COVID-19 vaccine. Just wondering, is there anything you need to do to your fleet, in terms of the way it's configured today to be able to handle pharmaceuticals. Are there any processes, you need to implement to -- to move what is more highly regulated type of cargo versus general cargo?
Calin Rovinescu: Mike, again, it's a fairly detailed question, and our team is working on this, and we were one of the participants in the RFP process, the Government of Canada is putting together. Certainly as you know, there is going to be specific requirement, such as temperature controlled. We may not step into that type of investment. But more our view is what can we do with our existing fleet and how can we partner potentially with other participants in the RFP process to make this a very, very efficient process for everybody.
Kevin Chiang: That's it from me. Thank you very much.
Calin Rovinescu: Thank you. Thank you for your comments, very much Kevin.
Operator: Thank you. Our following question is from Chris Murray from ATB Capital Markets. Please go ahead.
Chris Murray: Thanks. Good morning, folks, and let me echo my regards to both Calin and Mike. I guess, my first question, guys, thinking about as we move into '21, one of the -- one of the strategic initiatives is around the acquisition of Transat. And when we go back to when you first proposed an acquisition, the world certainly changed a lot including your restructuring erosion and parking a lot of aircraft. You know, can you explain maybe how you think Transat fits into a world over the next three to five years and how -- how you take advantage of the brand and what they bring to you?
Calin Rovinescu: Okay. It's a very, very important question, Chris. So we liked Transat before COVID, and we continue to like Transat after COVID. And it's basically -- it's simple as this is, it's to say that as we look at the changes that are taking place in the industry, where we recognize that Transat has had one of the leading leisure brands around and we've always appreciated that in them. We were going to have a lot of questions around where it fits in with Rouge and so on. But now with the -- with the set -- with the removal of the 767 from the Rouge fleet, this does give us a lot of additional heft, as we look to re-enter some of those markets, as they start coming back. So when we look at what we'll be able to do with Transat in some of these international leisure markets through their attractive fleet 330s, which, of course, we operate ourselves and the 321 neo that they have on order, those aircrafts fit very well within our fleet expertise. Their brand is a strong leisure brand. And so when we look forward to competing with other international carriers that are operating in leisure, and there, of course, there are many, many European competitors that fly across the Atlantic, and we expect to be a stronger competitor, as a result of that. And certainly with the -- with the 25 767 having exited the fleet, as the market returns, we'll be well positioned to respond. And so people often do mergers or acquisitions to gain cost synergies. That is not what this exercise is about. This is much more about revenue synergies and expansion into the leisure market for us. And while it will be different post COVID than pre-COVID, there is no question about that. And while we'll be smaller and they will be smaller remembering our requirement is that on closing that their downsizing is at least proportional to our downsizing. While we'll be smaller and they will be smaller, we'll be well positioned for the recovery, as a result of their good brand and their -- and the breadth of these leisure operations.
Chris Murray: All right.That's fair. And then my other question is around testing. And so a couple of parts of this. I mean, if I look at you -- where your business has sort of been operating as you move [ph] to go into Q4 and maybe early next year, most of your national travel seems to be at least heading over the Atlantic, number of the European governments, the UK, Italy, France and Spain, have been talking about testing protocols and shortening timing. Just overall, how are you feeling about your ability to forward on a testing regimen on a regular -- on a regular basis just to -- just to facilitate international travel?
Calin Rovinescu: Testing has -- we launched that testing protocol to really prove the point and we did it really under the offices of the McMaster HealthLabs oversight. So it's not a sort of a commercial testing dynamic. It was a scientific one. Obviously that cannot be replicated in that fashion by us throughout the world. That's not realistic. And so our expectation is that if the testing protocol, as proves positive, as it has been based on the more than 35,000 tests already done, we would have the government, and this is why we're working with the government to try to prove the case to set up these sorts of protocols. And as people arrive into the country, they have the test and then the expectation is that the quarantine will be reduced. And this is what's going on in Alberta, right now. But we could see a test on departure and a test on arrival. And I think that will at some stage that will be the way to really break the back of the quarantine requirements. But I think it will come in -- in phases. I'll be very, very happy to see all Canadian airports that have international traffic to have a test on arrival that is overseen by the Government of Canada and the provinces and that the quarantine can be reduced from 14 days to say 5 days based on a certain number of protocols and that's really what we're working for. On the outbound side of things, of course, travelers would love to know that everyone, who is on that aircraft has tested negative before boarding the aircraft that requires rapid testing. And that's why we're anxious to see the -- these Abbott test more on circulation. We know that there have been some supply chain challenges that relate to them, but we're anxious to see the government do that. So we continue to work both on the departure and on the arrival testing. It is feasible. But, of course, it's not going to exist around the world instantaneously. So it will take some sort of blocking and tackling to get it there.
Chris Murray: Okay. Fair enough. And then if I can just one -- one last kind of clean up question. Mike, is there any idea what the magnitude of your CEWS payments for -- will be in Q4?
Mike Rousseau: Thanks. Yes. They're going to be slightly lower than -- I think we -- we recorded about CAD190 million in Q3. They will be slightly lower than that because the per person amount is dropping a bit in Q4. So I would say in -- probably in the range of 125.
Chris Murray: Okay. Fair enough. Thanks, folks.
Calin Rovinescu: Thanks, Chris.
Operator: Thank you. Thank you. Following question is from Konark Gupta from Scotiabank. Please go ahead.
Konark Gupta: Thank you, and good morning. I would like to echo comments on Kevin -- Calin, and Mike for the successful career and the new leadership ahead. So maybe the first one on the cash burn guidance. So I think you just said the CEWS will be down obviously from Q3. But wondering in your cash burn guidance for Q4, which I think, implies a CAD3 million to CAD5 million per day in operating cash burn, what are your assumptions for transborder restrictions and perhaps any sense on the traffic, I know capacity is down 75%, but what are you expecting for US transborder and traffic?
Mike Rousseau: Yes. Good morning, Konark. It's Mike. Unfortunately, we're not expecting much change from Q3. I think as Lucie said in the prepared comments transborder, we don't expect a lot of additional activity in Q4. There maybe some additional sun activity into the Florida markets and into the Caribbean markets, but it's not going to be material to move the dial-in. And again, the cash burn in Q4 is really comprised of CapEx a little bit higher than it was in Q3, which is about CAD1 million a day. Lease returns, we're starting to return a lot more planes and that's going to be probably at least CAD1 million extra a day. Now that has a long term benefit because it gets rid of costs that are currently we're assuming. And the rest of it is, as you said, EBITDA and working capital, which also has an opportunity to improve depending on how the -- how the markets improve over the next couple of months.
Konark Gupta: Okay, and that's good. Thank you. And I just want to kind of run by -- by you guys my hypothesis here. I know obviously vaccine is being developed and it could be around the corner here. But as soon as the vaccine comes out perhaps like would you expect new bookings to rebounce first or the traffic. And the reason I ask is, obviously the new bookings will bring you cash, while some initial traffic rebound might be a use of cash given that's already booked?
Calin Rovinescu: Yes. I think -- I think our sense is that there would be some new bookings. I'll ask Lucie to reflect on it. Lucie studies the booking trends very closely. I think that there is a lot of demand for this VFR traffic, visiting friends and relatives dynamic, and so I think there are lot of people, who are very, very hesitant to make any travel arrangements now based on these restrictions and quarantines even if they feel safe to travel and we've made all these precautions that it's safe to be on the airplane, they can't justify coming back and taking two weeks at home with -- on a quarantine dynamic. And so they just simply not booking future travel. But the interplay between the -- the travel that has already been booked and paid for versus the new bookings, Lucie, I'll ask you to comment on that.
Lucie Guillemette: Sure. So hello, there is no doubt that two -- two different market segments perhaps that I can comment on. The first is, when we look at the VFR markets or the leisure markets, we anticipate that with a vaccine or with changes to -- to travel restrictions notably the quarantine upon return, we believe that those markets would probably rebound the quickest. The one area, though that we're monitoring very closely, and we've actually taken a look at what we have observed in other countries, where we've seen the removal of the quarantine restriction, and it pertains to business traffic. So in the current environment because there are many different restrictions that stifled traffic, quarantine, for sure is the most important one when it comes to business. And our belief is that with the introduction of a vaccine, we would actually see close in business demand materialize, where today most of the bookings we have on hand are leisure bookings. So if the environment changed, we believe that the new bookings that we would start to see would really be more geared at SME and business travel.
Konark Gupta: That's great color. Thank you. And then, talking about obviously, the bookings here. Maybe perhaps I can ask you on the advanced ticket sale liability, looks like the rate of decline in that liability item slowed in Q3 versus Q2. Can you share any underlying trends in cash bookings and cash refunds? And also remind us if you can, what portion of this liability is in refundable ticket and travel vouchers, please?
Mike Rousseau: Sure. It's Mike. So in Q3 cancellations or refund sorry slowed a bit versus Q2, as part of the rationale and revenues were up a little bit as well. So those two components would -- are the support for the -- for the change in -- in the -- in advanced ticket sales. And then, on -- on refundable fares, roughly -- roughly 65%, two-thirds are in -- of that amount are in refundable fares.
Konark Gupta: Okay. Thank you. And last one for me, Mike, thanks for [indiscernible].
Mike Rousseau: Sorry. No, I'm sorry, let me correct that. About two-thirds of that amount are in non-refundable fares and about 20% of that amount is in refundable fares.
Konark Gupta: So it's -- two -- two-thirds is non-refundable, 20% is refundable and the rest would be something else?
Mike Rousseau: It was advance -- it's for future -- future bookings.
Konark Gupta: All right. Significant. Thank you.Okay. Okay. And last one from me before I turn it over. Cargo, so I think, I heard you converted about four Boeing 777s and three A330s, are these conversions permanent? And do the freighter specs and what would, yes, sorry.
Calin Rovinescu: Look, no, no, it's a good clarification. I mean that we weren't clear. No, the 777 and 330s, these are temporary during this time of COVID, so to speak. These are temporary conversions, which are intended to be reverting to passenger aircraft in due course. When we were referring to freighter conversions of our 76 -- of some of our 767s that -- those would be permanent conversions, meaning, we would be getting into the freighter business, which is obviously an important step for Air Canada. We would only do that with the approval of our pilots on a -- on a -- on terms and conditions for that flying. But those would be -- if executed those would be permanent conversions of some of those 767 aircraft.
Konark Gupta: No. That's great clarification, Calin. Just wanted to understand on 767 conversion, if you can share us, I understand that it's obviously confidential at this point. But are you looking at a big fleet of conversion 767s? And what is the timing, is it -- could that be in '21, could that be '22 or beyond?
Calin Rovinescu: I think we'll start in '21. We haven't yet fully completed all our plans. But certainly, we have the opportunities to convert a couple in 2021 and test the market again subject to with the pilots -- coming to terms with pilots. But we certainly have the opportunity to expand that as -- as the market grows.
Konark Gupta: Perfect. Thank you so much.
Calin Rovinescu: And thank you for your nice remarks, Konark.
Operator: Thank you. Our following question is from Hunter Keay from Wolfe Research. Please go ahead.
Hunter Keay: Hi, good morning, everybody.
Calin Rovinescu: Good morning, Hunter.
Hunter Keay: Calin can you help me understand in terms of the vaccine. I know this is a very dynamic situation, but can you help us understand this isn't necessarily an airline question. But just how the approval and distribution of a vaccine in Canada will work as it relates to FDA approval. Can -- can the vaccine be distributed and administered without FDA approval in Canada. Can you help us get a timeline for some of the gating items that we should think of in Canada? Yes. Thank you.
Calin Rovinescu: Yes. No. So first of all, FDA approval in and of itself will not be adequate to distribute the vaccines in Canada. It does require the Canadian health authorities on top of that. I know that obviously the US process has been under this warp speed dynamic has been moving these -- these various vaccines at pace and totally supportive of that. Canada has pre-ordered large quantities of vaccines, sort of they gotten into the queue early, which was obviously a good sign on -- from Canada's perspective. And I would say that if FDA is there, the assumption is that the Canadian health authorities would move quickly on the back of that. But the -- there are some circumstances in which they may choose to go more slowly. We hope that would not be the case, if the -- if the tests have been proven to be adequately robust. In terms of distribution, I mean, this is -- this is always been the problem, and we're even seeing it right now with respect to their -- to the rapid test -- the Abbott -- the Abbott rapid tests. The supply chain complexity here is very, very large. And I think that governments generally are not well suited to moving quickly on supply chain issues. And I think that -- that is a risk factor here for sure. So that's why I'm saying, I'm cautiously optimistic. And I know, the market sort of has gotten out ahead of everybody this morning on the -- on what this vaccine means 90% efficacy et cetera. But basically, I would be cautiously optimistic and not assuming that is distributed instantaneously throughout the planet because of course, we know that's not the case. And again given that air travel touches so many continents at the same time, I think that a word of caution has to be brought to bear before we get ahead of our skis here.
Hunter Keay: Okay. And then, well we're talking about government. Can you give us the latest on Transport Canada's certification time on the MAX. And -- and I'll also just add, by the way, my congratulations to you, Calin, it's been great working with you in the short period of time, and Mike, you too. I'm looking forward to working with you as well.
Calin Rovinescu: Thank you very much, Hunter and appreciate.
Hunter Keay: Yes, of course.
Calin Rovinescu: Yes. I appreciate -- appreciate the good words. So on the MAX situation, of course, the Transport Canada is one of the key regulators involved in the MAX certification process. They've been following the -- the decisions of the FAA throughout the -- the piece and in fact, communications participated in -- in some of the trials that have gone on over the last several months. We don't have a definitive date. But the way it's playing out now, is that there would be -- we expect there to be airworthiness directive issued this year. But that the -- on that our expectation at this moment in time is that the airplane would only be flying next year -- in early next year and in Canada. And we say in Canada or to Canada, so, that of course, includes any US carriers that might have ability to fly sooner would not be able to fly to Canada until early next year. From our perspective, given the current dynamic that is not something that is necessarily a bad thing right now, as we -- are get ourselves geared up to complete our training protocols, our additional requirements that have come out of the FAA and out of Transport Canada. The Transport Canada had some issues that they work alongside EASA with, and those are now also being worked through. But from all indications, it's heading in the right direction for an airworthiness directive this year and a lifting of the ban for customer travel early next year.
Hunter Keay: Thank you very much.
Calin Rovinescu: And thanks, again, Hunter for your -- your good words and look forward to seeing you follow the company for a long time.
Hunter Keay: Thank you.
Operator: Thank you. Following question is from Savi Syth from Raymond James. Please go ahead.
Savi Syth: Hey, good morning all. Calin and Mike, I'd like to echo the remarks and congratulations to you on the call so far.
Calin Rovinescu: Thank you, Savi.
Savi Syth: I just have a few kind of follow-up question to some of the commentary made so far. Just maybe firstly, Lucie kind of based on your comments, should we expect capacity declines in 4Q to moderate from 3Q levels across all regions with maybe perhaps kind of the most moderation in the domestic market and least in the transborder? And do you expect that kind of to continuing into 1Q based on what you see so far?
Calin Rovinescu: I'll ask Lucie to comment, but it's -- it's quite dynamic Savi based on how the travel restrictions moderate and whether the -- these testing trials lead to a reduction in quarantine, so that could be a major change in our current thinking. But Lucie has set the capacity plan for -- for Q4 and maybe, you could just comment, Lucie on that.
Lucie Guillemette: Yes. For sure. Yes. So basically -- and maybe one -- just one comment I wanted to make because we're on the subject of testing and quarantines. But if we look at just the test that's just been recently launched in Alberta, so basically we would be in a position to quickly be able to react to that if we do see a change in demand, as a result of the quarantine changes, we would be in a position to be able to alter our capacity plans for the fourth quarter to perhaps add more transborder flying from Western Canada into the United States into Hawaii, for example. So those are the kinds of things that we're -- that we're watching very, very closely. And with respect to other markets, domestic Canada, we continue to see good improving recovery, I should say within -- within the domestic market. The intra-West and Transcon markets are the ones that are most solid, and of course, because of the -- the travel bubble restrictions that we were referring to for Atlantic Canada, it does of course, stifle the demand into -- into the Maritimes. With respect to the transborder networks, we continue to operate a skeleton schedule, but with a very, very close eye for Q4 and Q1 on the US sun markets, which we're now in the peak of that booking window for Q4, Q1. So we're going to obviously watch that very, very closely.
Savi Syth: That's helpful. Thank you. And then just, Mike, on the cash breakeven commentary, so I might be so acute, US airlines have pointed to maybe 60% to 70% of revenue to get cash breakeven. And without kind of giving an actual level, I was just wondering, there is something fundamentally different at Air Canada that would result in an kind of a lower level or a lower level of getting to cash breakeven?
Mike Rousseau: No. There is nothing fundamentally different between Air Canada and the three large network carriers in the US. Our cost structures pre-COVID were very similar. And our productivity levels were fairly similar.
Calin Rovinescu: The only thing we can say is that, I think some of the steps that we've taken and the speed that we've taken these steps part of this COVID mitigation plan, given the fact that we didn't have sector support from -- from the government required. It's actually moved really, really quickly to take on additional layer of costs that I'm not sure that was at the same -- at the same pace in the United States.
Mike Rousseau: And to that end, you just got to be careful. Obviously, as you know, everyone may define cash burn differently or breakeven differently. And so it's just -- I would caution you on the benchmarking.
Savi Syth: That makes sense. And then just my last follow-up on the cargo front. Prior to the crisis, we were looking at oversupply in the kind of the global cargo market, is your decision here to expand that -- kind of get into that dedicated, is that based on a view that we might not have as many wide-body aircraft in the kind of the global capacity here for the next several years. Is that what's changed?
Calin Rovinescu: I think -- I think there is two factors. I think certainly, I think that is one of the factors. But we also believe there will be incremental or accelerating growth of e-commerce, and we're well positioned to take advantage of taking a piece of that market place. And so that's -- that's I think of the two factor, that would be the more important one from our perspective.
Mike Rousseau: And think of it like this, I mean that it's -- so those are the two drivers sort of lower number of wide-bodies available on circulation, plus the e-commerce opportunity. But then when you couple a network, a large passenger aircraft network with a dedicated freighter network in that environment, it doesn't have to be a big -- the idea doesn't have to be a very, very large dedicated freighter network, you could actually see lots of synergies, which -- which can expand CAD850 million revenue base that we're starting with.
Savi Syth: Makes sense. All right. Thank you.
Calin Rovinescu: Thanks.
Operator: Thank you. Following question is from Cameron Doerksen from National Bank Financial. Please go ahead.
Cameron Doerksen: Yes. Thanks very much and good morning, and let me echo my congratulations to both Calin and Mike as well. Question really for Mike. I'm just looking at the -- the CapEx numbers for the next two years, CAD1.4 billion in '21 and roughly CAD1.8 billion in 2022. Are there any aircraft deliveries in those numbers over those two years, where there would be potentially some of financing, so that the net CapEx number would be lower than that?
Mike Rousseau: I think all aircraft deliveries over those two years are assumed to be financed?
Cameron Doerksen: And how many are there after all the -- the I guess, deferrals and cancellation of orders, just trying to get a sense of what, I guess, financial, would be coming in?
Mike Rousseau: Yes. I don't have that number off the top my head. I think next year in 2021, we've got, I think we've got three 737s coming in towards the end of the year. And on the 220s, I believe, we have 12, so 15 next year. And then in 2022, I think we have the remaining six 220s, and I think we have nine MAXs coming in, in that year.
Cameron Doerksen: Okay. That's very helpful.
Mike Rousseau: But don't hold me to those numbers, but I think that's roughly what the math is basically, and we confirm that basically after the fact. There is no issue giving you the number of aircraft expected to be delivered over in those two, three types over the next couple of years.
Cameron Doerksen: Okay. Perfect. No, that's very helpful. And just the second question from me, just on, I guess, sort of on the cost structure. Have you at this point significantly reduced your airport footprint. I mean obviously, you're going to be a small airline here for the next few years. I'm just wondering if there is still some cost savings to come from that?
Calin Rovinescu: So Cameron, Calin here, and again, thank you for your comments earlier. The answer is yes. We're aggressively looking at our airports the key, the large airports and of course, as you know, we've pulled out of some of the stations that we announced closures from the first Rouge announcement. So the answer is, yes. And obviously, you saw what we included in our release this morning about looking at 95 additional routes and where that to happen obviously, you'd see a smaller footprint in airports there as well. But of course, we put that on pause pending these discussions with the government. So the -- there is not, I wouldn't say that there is a tremendous amount more to come barring this discussion on the 95 route suspensions.
Cameron Doerksen: Okay. That -- that's helpful. Thanks very much.
Calin Rovinescu: Thank you, Cameron.
Operator: Thank you. Our following question is from Tim James from TD Securities. Please go ahead.
Tim James: Hi, thanks, and good morning. Congratulations Calin on your retirement and certainly well deserved, and my congratulations on the appointment looking forward to your continued success. I just had one question remaining at this point, and I'm thinking for those of us that are maybe a little more optimistic on the recovery. If it does end up occurring more quickly than expected outside of pilot training costs, which I think are pretty well understood, are there any other temporary costs or inefficiencies that we should think about that would be unusual not necessarily continuing, as it relates to ramping back up the business if it doesn't need to be done more quickly?
Calin Rovinescu: No. I think, look -- I think that the -- the key drivers to ramping back up our availability of aircraft on a timeline -- on the timeline and schedule that we like, the pilot training for those aircraft types, and of course, availability of slots and access to the preferred gates and this sort of thing, we're not giving up any of our slots at slot constrained airports. We have -- we have very, very carefully held on to them. And we're going to look for creative ways to ensure that if there is a use it or lose it dynamic that we're going to use them adequately to preserve access. In terms of aircraft, while we've exited a lot of aircraft to get the cost out. As we mentioned, we do have some optionality and based on the number of bankruptcies going on in the -- in the space elsewhere in the world, we know there are going to be a lot of aircraft available on short notice. You saw what we did last year with the WOW aircraft and WOW went into bankruptcy, we quickly picked up what eight -- eight Airbus 321s at that time -- 321s yes, 321s at that time, almost in a couple of months. And so there are going to be a lot of opportunities for short-term aircraft, and so then they will -- that will result of course, in pilots. But our pilots, the way we structured our deal with our pilots is that they've not been permanent terminations for the major part. So pilots are still available on a recall basis. So that could be ramped up as well. And then, if you're looking at something that extends beyond -- if you're looking beyond say 2021, the options on the MAXs and on the A220s are able to be auctioned. And that's based on our original pricing, which was quite attractive in both of those cases given that they were large orders. So you could see us ramping back into our original preferred fleet time. But there are usual requirements of maintenance and getting maintenance slots for heavy maintenance dynamics and that's if you try to do that at the last minute that sometimes becomes challenging. But we have taken into account the possibility of some requirement to wrap up more quickly than we are currently planning. We would -- obviously we'd be delighted to have -- that will be a high class problem to have. But we think that the -- as you say the combination of -- of the various drivers of this including the network effect, that's why I need to underscore the -- the network effect. It's going to take before it get to 2019 levels, it still going to take several years in our view.
Tim James: Okay. Thank you very much.
Calin Rovinescu: Thanks, Tim, and thanks for your -- thanks for your generous words. Appreciate it.
Operator: Thank you. Following question is from Helane Becker from Cowen. Please go ahead.
Helane Becker: Thanks much operator. Thanks everybody for squeezing my question. So Calin, I know you have one more call, but congratulations and Mike same to you. Any thoughts on CFO succession?
Calin Rovinescu: No, of course, you'll be -- you'll be amongst the first to know. I just love to declare that here today on the call. We'll make sure that you're amongst the first to know. We'll be announcing that at the beginning of the -- at the beginning of the year.
Helane Becker: Okay. That's fair enough. And then, the other question I had is on the MAX order book. What -- why -- can you just remind us why you have that aircraft on order at all? Why you're not just focusing on the A220 and the A320 neos or A321 neos, as the 767 replacement?
Calin Rovinescu: So first of all, when we made the original decision on the 737-8, we -- at that stage we compared its functionality and its the cost drivers that what missions, we needed to accomplish with the cost structure was to accomplish those mission and what was the best aircraft to do that. And I think we were very transparent, and I would say, I can even repeat it today that we always considered the C Series, as it then was the A220 as being the best aircraft in its category. So we thought that the C series, the A220 was better than the 737-700 MAX -- MAX the 7 [ph] and -- and was better than the A319. We considered, however, the 737-8 to be the best of that size when compared to the A320. And we always liked the 32 neo as being the best in the large category materially better than the 737-9. And of course, while we had enough missions to accomplish all of that, and therefore have several fleet types, we're now in the position and certainly if we complete our acquisition of Transat, we'll have the opportunity to have 321 neos coming in sooner than later. But we did like the 737-8 for the missions that it was intended and we still do.
Mike Rousseau: And just to add on that. We do taken our -- into our economic analysis the friction cost associated or the lack of efficiencies potentially by not having a larger fleet in one fleet type. So that's all considered. And again, to Calin's point, who has been a long time, and we like -- we like the 737-8, we like the 220, and we like the 321, we think those given our -- given our profile are the -- are the right planes for Air Canada, as we go forward.
Helane Becker: Right. Got you. Okay. Well, thank you very much. That's very helpful.
Calin Rovinescu: Thanks, Helane.
Operator: Thank you. Our following question is from Jamie Baker from JPMorgan. Please go ahead.
Jamie Baker: Hey, good morning, and gentlemen, my congratulations to both of you. I can't say we've been here as long as others on the equity side, but we have on the credit side, and Mark wanted me to add his congratulations as well. Mike, the -- yes, thank you. You're welcome. The CAD72 million reduction in maintenance reserves on leased aircraft. Can you discuss the calculus a bit more? Was that an Air Canada only phenomenon or something you negotiate with lessors that kind of flew by in your prepared remarks?
Mike Rousseau: Yes. So we have a liability on our books that represents the expected end of lease payments, for leased planes, and we'll look at that every quarter. And so we look at this quarter given the relative inactivity on some plane types like 320s and some of the regional aircraft, we -- the end of lease payments declined.
Jamie Baker: Okay.
Mike Rousseau: For the planes that were expected to be returned the next year or so. So it's really a function of inactivity because as you know, these end of lease payments is -- are typically they [ph] return it at half life or whatever. And so, given the fact that a lot of these planes are grounded that liability has declined, and therefore the reduction in the maintenance provision.
Jamie Baker: Okay. That makes perfect sense. And also can you expand on the, I guess, the scope provisions that you mentioned in regards to the pilots and operator aircraft?
Calin Rovinescu: Yes, Jamie, Calin here. So as you know, similar to the US airlines, our pilots have scope on all deploying that Air Canada does including cargo flying, freighter flying. And so we would look to have rates that are more competitive with cargo carriers to operate these dedicated freighters. We had -- Air Canada was in the freighter business twice in the past and neither of those two circumstances were -- were particularly appealing successes. And so for this time around to get it right, especially with the opportunity that arises with the fewer number of wide-bodies in circulation and the e-commerce opportunity, we think that a -- the right kind of deal with the right kind of cost structure would make sense. And so we're in discussions with our pilots to try to come to the right outcome here.
Jamie Baker: So it's a lack of dedicated freighter wage rates that are on the contract right now?
Calin Rovinescu: Correct.
Jamie Baker: Okay. I understand better now. Thank you very much and congratulations again. Take care.
Calin Rovinescu: Thanks, Jamie.
Operator: Thank you. Our last question is from Stephen Trent from Citi. Please go ahead.
Stephen Trent: Oh yes, good morning, everybody and thanks very much for taking my question. I extend my congrats as well, Calin and Mike that's terrific.
Calin Rovinescu: Thank you, Stephen.
Stephen Trent: Just one very quick follow-up for me, and I apologize for the background noise. When you think about longer term, the impact that we've seen from the pandemic, as anything in the economics of fleet financing given you any for -- any reason to think differently about leasing versus buying or is this just a matter of looking at where the short term cost is most advantageous?
Mike Rousseau: Good morning. Stephen, it's Mike. A very interesting question. Certainly, long term interest rates are lower at this point in time and expected to be lower. So financing a plane will potentially become cheaper as time goes on if you fixed the rate. On the other side to Calin's earlier comments, we think there will be some supply of planes in the marketplace over the next couple of years, and so leasing rates should be more competitive as well. So it's going to be a very, very interesting market, as we look for planes, as we hunt for planes over the next couple of years to fill the capacity needs, as to whether we want to buy or lease. And again, I think that will be a function of how the market evolves over the next little while. But certainly from a financing perspective, our view -- our long term view on interest rates is they are going to remain low and that will provide good incentive for us to buy and good incentive for us to negotiate effective lease rates, if we decide to lease.
Stephen Trent: Okay, very helpful. That's super, and thank you very much for taking my questions.
Calin Rovinescu: Thank you.
Operator: Thank you. So we have no further questions registered at this time. Back to you, Ms. Murphy.
Kathleen Murphy: We thank everyone for joining us on our call today. Thank you very much.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.